Operator: Hello, and welcome to today's Xenia Hotels & Resorts, Incorporated Second Quarter 2022 Earnings Conference Call. My name is Bailey, and I will be your moderator for today's call. All lines will be muted during the presentation portion of the call with an opportunity for questions and answers at the end.  I would now like to pass the conference over to our host, Amanda Bryant, Vice President of Finance. Please go ahead.
Amanda Bryant: Thank you, Bailey. Good afternoon, and welcome to Xenia Hotels & Resorts second quarter 2022 earnings call and webcast. I'm here with Marcel Verbaas, our Chairman and Chief Executive Officer; Barry Bloom, our President and Chief Operating Officer; and Atish Shah, our Executive Vice President and Chief Financial Officer. Marcel will begin with a discussion on our quarterly performance and long-term growth opportunities. Barry will follow with more details about our recent operating trends and status of our capital expenditure projects. And Atish will conclude our remarks with an update on our balance sheet and full year guidance. We will then open the call for Q&A. Before we get started, let me remind everyone that certain statements made on this call are not historical facts and are considered forward-looking statements. These statements are subject to numerous risks and uncertainties as described in our annual report on Form 10-K and other SEC filings, which could cause our actual results to differ materially from those expressed in or implied by our comments. Forward-looking statements in the earnings release that we issued this morning, along with the comments on this call, are made only as of today, August 3, 2022 and we undertake no obligation to publicly update any of those forward-looking statements as actual events unfold. You can find a reconciliation of non-GAAP financial measures to net loss and definitions of certain items referred to in our remarks in this morning's earnings release. The property-level portfolio information we'll be speaking about today is on a same-property basis for 32 hotels. This excludes Hyatt Regency Portland and Oregon Convention Center and W Nashville. An archive of this call will be available on our website for 90 days. I will now turn it over to Marcel to get started.
Marcel Verbaas: Thanks, Amanda, and good afternoon to all of you joining our call today. Momentum in our business picked up meaningfully since our last earnings call in early May. As we reported this morning, RevPAR grew 2% in the second quarter as compared to 2019, marking the first quarter since the onset of the pandemic where quarterly RevPAR exceeded the same period in 2019. With a strong leisure base, higher levels of corporate transient and group demands allowed our properties to grow revenues and profits above our expectations. In the second quarter, net income was $27.6 million. Adjusted EBITDAre was $88.6 million and adjusted FFO per share was $0.57. As demand continues to recover in what has historically been the seasonally strongest quarter for our portfolio, all of our properties generated positive hotel EBITDA. RevPAR for the quarter was $186.75, with a 2% growth over the same period in 2019 reflecting a substantial sequential improvement from the first quarter when RevPAR was 19.5% below 2019. The RevPAR growth was primarily driven by strong results in the months of April and June and was fueled by substantial ADR growth throughout the quarter. Average daily rate increased 16.6%, offset partially by about 10 points lower occupancy as compared to the second quarter of 2019. RevPAR growth exceeded 30% in four of our top 10 markets, including Key West, Phoenix, San Diego and Napa. We continue to be pleased with our operators' ability to control costs in this inflationary environment. Second quarter hotel EBITDA margin improved 365 basis points as compared to 2019, benefiting from the combination of robust rate growth and favorable expense controls. As a result, same-property hotel EBITDA for the quarter exceeded the 2019 level by 15%, while our adjusted EBITDAre came within 1% of the amount we generated in the second quarter of 2019. Like many of our peers, our portfolio of premium hotels in top 25 markets and key leisure destinations has benefited from a rapid recovery in leisure demand in recent quarters. However, we believe we are in the early innings of a multiyear recovery in overall lodging demand. And our portfolio remains well positioned to experience the tailwinds of improving corporate transient and group demand. Near-term trends remained favourable and while visibility remains limited, we are not seeing signs of a meaningful slowdown in demand. We are off to a solid start to the third quarter, which historically has been the seasonally weakest quarter for our current same-property portfolio. Preliminary RevPAR for the month of July was approximately $157, driven by occupancy of approximately 64% and average daily rate of approximately $247. July estimated RevPAR was approximately 4% below the results achieved in July of 2019 and approximately 16% higher than July of 2021. Rate growth continues to be impressive as our estimated ADR exceeded July 2019 by approximately 18%. Midweek demand improved steadily after the 4th of July holiday caused business travel to be muted in the early part of the month. We continue to be well positioned to benefit from a diverse set of demand drivers even as the summer travel season winds down over the next month. We have been pleased that our properties have been able to pivot to capture substantial leisure demand in their respective markets. However, pre-pandemic revenues at the majority of our hotels were primarily generated by corporate transient and group demand, particularly after Labor Day. We expect that improving demand from group and corporate transient, on top of continuing strong leisure demand, will enable our operators to drive occupancy gains in the months and quarters ahead. So where are the greatest opportunities for growth in the portfolio? Let me highlight two key areas. First, we have meaningful growth left in our same-property portfolio. Same-property hotel EBITDA in the first half of 2022 was down 7% as compared to the first half of 2019. Seven of our top 10 markets as measured by contribution to 2019 EBITDA, have yet to fully recover back to 2019 levels, which is reflective of the greater dependence on corporate transient and group demand in the hotels we own in those markets. Six of our larger corporate and group-focused hotels, namely Marriott San Francisco Airport, Hyatt Regency Santa Clara, our two Dallas hotels and our two Westins in the Houston Galleria markets, were collectively more than $20 million behind in terms of hotel EBITDA in the first half of 2022 as compared to the first half of 2019. These six hotels generated approximately 30% of our same-property hotel EBITDA in 2019, significantly above the approximately 18% of hotel EBITDA they generated during the first half of this year. While 2019 did not reflect peak earnings for every market, it is a good starting point to assess opportunities for recovery and growth in the back half of this year and into 2023. Importantly, our hotels in most of the markets that have lagged thus far are currently experiencing good pickup in both group and corporate transient demand. We believe that this momentum will help us continue to close the EBITDA gap to 2019. The second significant driver of growth for our portfolio is represented by our two most recent acquisitions. As previously discussed, we expect W Nashville and Hyatt Regency Portland to generate between $40 million and $45 million in hotel EBITDA annually upon stabilization. Both properties are building their books of group business, in addition to corporate transient and leisure demand. Hyatt Regency Portland is already starting to benefit from citywides and events that are adjacent to the Oregon Convention Center and the Moda Center. The hotel's group base has steadily improved throughout the year, with almost 60,000 group room nights actualized and on the books for 2022 as of the end of the second quarter. Profitability and RevPAR improved significantly in the quarter, with the hotel achieving occupancy of approximately 68% in June, the highest level since opening. Although the pandemic has caused stabilization to be delayed compared to underwriting when we acquired the hotel in late 2019, we remain confident in our belief that the hotel will reach the stabilized EBITDA we expected upon acquisition. Meanwhile, W Nashville continues to perform well and in line with our expectations. RevPAR exceeded $250 every month during the second quarter, and significant upside remains as the outstanding food and beverage facilities are optimized from an operating perspective and corporate transient and group demand builds. The hotel has a unique offering for groups with 18,000 square feet of meeting space in what is a very rapidly growing market. We believe this is an important element to achieve the optimal demand segmentation mix to drive maximum profitability. We continue to expect that the hotel will deliver between $13 million and $15 million of EBITDA during our ownership period this year. While potential recession may slow the rate of recovery in the lodging industry in the short term, we remain very optimistic about our growth prospects in the years ahead. We believe our strategic focus will add in a multitude of demand generators to drive portfolio performance as well as a balanced mix between group, corporate transient and leisure demand will continue to serve us well in the next phase of the industry recovery. With that, I will turn the call over to Barry, who will provide additional details on our second quarter performance and an update on significant CapEx projects we have scheduled for this year and early 2023.
Barry Bloom: Thank you, Marcel, and good afternoon, everyone. For the second quarter, our same-property portfolio occupancy was 69.8% at an average daily rate of $267.72, resulting in RevPAR of $186.75. On an absolute basis, this marks our highest RevPAR quarter since the start of the pandemic. Building on a very strong start in April, RevPAR of the quarter ended up 2% as compared to the second quarter of 2019. As Marcel mentioned in his remarks, the portfolio drove an average daily rate increase of 16.6% in the quarter as compared to the same period in 2019. On a monthly basis, results during the quarter exceeded our expectations. April continued the strong occupancy trend, with an occupancy of 72% at an average daily rate of $280.62, both post-COVID records, reflecting occupancy down 9.8 points to 2019, while rate increased by 18.3%, reflecting continued strength in leisure business and strengthening group business, particularly our large resort hotels. May is a seasonally slower month for our portfolio than April and achieved occupancy of 69% and an ADR of $264.98, an occupancy decline of 9.1 points compared to 2019, with rate up 12.8%. June occupancy of 68.3% reflects historically lower levels of group and leisure business, which was offset by continued strength in individual corporate business and a decline of 11.1 occupancy points to 2019. However, ADR was $256.97, up 18.8%, the largest monthly rate increase over 2019 achieved to date. Out of 32 same-property hotels, all but four achieved higher average daily rates in the second quarter of 2022 than they did in the second quarter of 2019. We've been pleased to see resilience in leisure pricing and continue to be optimistic regarding corporate rates, particularly as we achieve higher midweek occupancies and sellouts in a number of our markets on Tuesday and Wednesday nights. We continue to be proud of the work we and our hotels have done to identify opportunities to maximize rate and ensure we are providing the right mix of amenities and services to satisfy our guests. As noted, demand in the quarter was broad-based. The portfolio benefited from very strong leisure demand, along with the build-up of group business and corporate transient. In the quarter, our group business benefited from solid in the quarter for the quarter bookings and strong rate growth, resulting in higher groups revenue, group, higher group rooms revenue as compared to the second quarter of 2019, which were high-quality, reflecting healthy corporate group demand, particularly in our larger resorts. And we saw a notable improvement in citywide conventions, which benefited our hotels in San Francisco, Dallas, Denver, Portland and New Orleans. Corporate transient demand continued to recover, with Monday, Tuesday and Wednesday occupancies building through the second quarter, although still down in the low to mid-teens occupancy point range compared to 2019. The Monday, Tuesday and Wednesday night occupancies we achieved in the quarter represent an improvement of more than 10 points from the level we saw in the first quarter and are clearly indicative of an acceleration in business travel that has continued into July. We remain optimistic on the recovery in corporate transient, which will be of increasing importance as we look beyond Labor Day and into next year. Early indications from our operators suggest that negotiated corporate rates could increase in the high single or low double digits next year. Now switching to profit, second quarter hotel EBITDA was $86.5 million, an increase of 15% on a total revenue increase of 2.4% compared to the second quarter of 2019, resulting in 365 basis points of margin improvement. Hotel EBITDA margin grew significantly during the quarter as the flow through on rate and our operators continuing success in effectively managing expenses. For the quarter, departmental expenses declined by 3.7% compared to 2019, while undistributed expenses declined by 1.7%. Though labor remains challenging in select markets, our operators report that they continue to fill open positions and there seems to be increasing availability of labor. In markets that have nearly fully recovered, our operators report that open positions are in line with pre-pandemic levels. Wage increases seem to have stabilized in the mid-single-digit range as compared to last year, which is in line with our initial expectations. Turning to CapEx, during the quarter, we invested $14.3 million in portfolio improvements, bringing our year-to-date spend to $21.8 million. At Park Hyatt Aviara Resort, Golf Club & Spa, the renovation of the golf course began in the second quarter and is expected to be complete early in the fourth quarter. We are also planning for a significant upgrade to the resort's spa and wellness amenities, which will be branded as a Miraval Life in Balance Spa on its completion in the first quarter of 2023. We expect this world-class facility will perfectly complement the five-star five-diamond hotel experience and attract a new demand segment to the resort. During the quarter, we substantially completed the restaurant, lobby, meeting space and rooftop renovations at Kimpton Canary Hotel Santa Barbara and continued planning of the guest room renovation, which is expected to occur in the fourth quarter this year and first quarter of 2023. We also began work on the comprehensive renovation of Grand Bohemian Hotel Orlando, which will continue into the second quarter of 2023. As a reminder, this will include renovation of the guest rooms, including substantial tub-to-shower conversions, meeting space, lobby, restaurant and bar and the rooftop pool, which will include the addition of a stand-alone bar and entertainment zone. We also commenced the renovation of bathrooms at Marriott Woodlands Waterway Hotel & Convention Center, including the conversion of bathtubs to walk-in showers in approximately 75% of the guest rooms. Additional projects that are planned to commence this year include renovation of the meeting space and lobby, including the addition of a Starbucks outlet at Fairmont Pittsburgh, renovation of meeting space at Royal Palms Resort & Spa and our renovation and reconfiguration of suites at The Ritz-Carlton Denver, which will result in the addition of three keys to the hotel. We have also started planning work on a comprehensive renovation of Kimpton Hotel Monaco Salt Lake City and is expected to commence in the first quarter of 2023. With that, I will turn the call over to Atish.
Atish Shah: Thanks, Barry. I will cover two topics this afternoon. First, I'll discuss our balance sheet, and second, I'll discuss our full year guidance. As to our balance sheet, we have the flexibility needed to grow the company and create long-term shareholder value. We exited from covenant waivers on our corporate credit facilities after the end of the second quarter. As such, the restrictions on both paying dividends and repurchasing shares have now lapsed. By way of reminder, we paid an annualized dividend of $1.10 per share prior to COVID, which reflected a payout ratio of approximately 65% of funds available for distribution. While we have NOLs which should offset to some degree the requirement to pay dividends in the near term, we continue to monitor the trajectory of the recovery as that may enable reinstatement of its modest dividend over the next couple of quarters. As to share repurchase, this is a tool we utilized in the past to drive shareholder returns. By way of reminder, since our listing in 2015, we repurchased $80 million of stock at an average price of about $15 per share. We currently have about $95 million remaining on our share repurchase authorization. As to the overall leverage level on a trailing 12-month basis, our net debt to adjusted EBITDA was approximately five and a half times as of June 30. Turning to our liquidity. At the end of the second quarter, it was approximately $675 million as compared to approximately $625 million at the end of the first quarter. Our liquidity reflects approximately $225 million of unrestricted cash and approximately -- and $450 million undrawn on our line of credit. We continue to have a well-diversified balance sheet, with no debt maturities until 2024. Turning to my second topic, our guidance. We have provided full year guidance, consistent with prior practice. Our guidance reflects current business conditions and does not anticipate any meaningful changes in the economic environment or any additional COVID-related impacts. Looking forward, we continue to believe our hotels are well positioned to capture business transient and group demand as they more fully recover. At the midpoint of guidance, we expect RevPAR to be down approximately 5% from 2019 levels and adjusted EBITDAre of $266 million or about 10% lower than 2019. The greater variance in adjusted EBITDAre reflects changes in portfolio composition and the recovery potential of certain of our properties. At the midpoint, our guidance implies a slight decline in second half RevPAR compared to 2019, which reflects the transition from a leisure-driven recovery to one that is more broad-based and likely to be slightly more gradual. We expect both continued ADR and margin growth versus 2019. Our guidance reflects improving corporate transient demand as the year continues and group demand continuing to build. Turning to group more specifically, group room revenue pace is strengthening, with 2022 pace 18% below 2019 levels at the end of June. This compares to 2022 group revenue pace of down 23% at the end of the first quarter. The second half of 2022 continues to look better as well. For the second half, group rooms revenue pace is about 18% lower than 2019. Second half group pace was down 21% at the end of the first quarter, so that reflects an approximately 300-basis-point improvement in pace versus a quarter ago. The rate story on the group side is quite positive. Rates for the second half are up 10% versus the second half of 2019. The other items that we provided guidance on in this morning's release have not changed much since last quarter. Interest expense is unchanged from prior guidance and reflects interest rate hedges expiring this fall and roughly 15% of our total debt. Cash G&A expense guidance is up $1 million and capital expenditure guidance is down $5 million as our estimates of each has been fine-tuned. To wrap up, the company continues to be well positioned for an extended lodging recovery. No matter the exact trajectory, we've prepared the company well with high-quality, well-located primarily branded hotels and a healthy liquidity and balance sheet to be able to grow in the years ahead. That concludes our prepared remarks today. And with that, we will turn the call back over to Bailey for our Q&A session.
Operator: Thank you.  The first question today comes from the line of Dori Kesten from Wells Fargo. Please go ahead. Your line is now open.
Dori Kesten: Thanks. Good morning. I know you said you haven't seen a slowing in demand yet, but where would you expect to eventually see that slowing? Is it more on the leisure side, business transient?
Barry Bloom: Well, it certainly wouldn't be on business transient and group, where we continue to see stronger results. I think if there was anything that you might see, but again, we've not seen it, is in the leisure demand. In fact, our drive-to markets continue to be as strong, if not stronger, than they were in the summer of 2021, so we view that as very positive thus far.
Dori Kesten: Okay. And how has the quantity of hotels that you're underwriting changed since last quarter? And how has your forecasting changed, if at all, if you look out several years?
Marcel Verbaas: It hasn't changed too much in either one of those categories. We haven't -- clearly, the current environment doesn't lend itself to be overly aggressive on acquisitions when we're looking at potential capital uses. And clearly, as Atish pointed out, we have no longer -- we no longer have any restrictions as it relates to repurchasing shares. We also have some debt, that even though we don't have any maturities until 2024, we do have some debt that we could be paying off, especially after -- with some of the hedges that are expiring, that Atish talked about. So there are various potential uses of our available capital, and that still includes potential acquisitions, to the extent that we find interesting opportunities. I wouldn't say that the volume has changed very dramatically over the last quarter. We continue to look at a number of potential opportunities. Clearly, we haven't found anything that we think really hits all the marks for us here over the last few months. So as it relates to the longer-term underwriting, I pointed out that we remember -- that we continue to be pretty bullish on the longer-term growth prospects, not only for our portfolio, but also for the lodging industry overall. And we're going into a period where we expect supply increases to be relatively muted. We do expect that group business and corporate transient will continue to build, even though that may be a little bit more gradual in the short term. If we do get some hiccups, if there is a recession going, we still are very bullish on the longer-term process.
Dori Kesten: Okay, thank you.
Operator: Thank you. The next question today comes from the line of David Katz from Jefferies. Please go ahead. Your line is now open.
David Katz: Hi. Good afternoon, everyone. Thanks for taking my questions, for all of the remarks and perspective today. I really wanted to just go a little further and get a sense for what the discussions are like with respect to assets that may be for sale. How are the underwriting processes changed, given that we're all trying to contemplate whether there is something out there recession-wise or not and what the intensity of it is? How do those discussions get around that uncertainty?
Marcel Verbaas: Well, clearly, we haven't gotten around to it on the acquisition side since we haven't bought anything, but we continue to.
David Katz: Still working around it.
Marcel Verbaas: What you're seeing in the short term, for sure, David, is obviously the debt markets that have changed pretty dramatically over the last four or five months, if you will. So that does change some of the discussion as far as who's out there potentially buying assets. Obviously, people there are higher-level buyers, are probably not as -- can't be as aggressive in the current environment. So that is the most immediate impact as you look at whether it's on the acquisition side, where maybe you have a little less competition, potentially looking at some acquisitions, but you balance that with at least having a little bit of caution in the short term when you're underwriting potential assets. On the disposition side, we talked -- we have talked consistently about that we're a company that looks to improve its quality of its portfolio over time, both through acquisitions and dispositions. So that certainly could still include some dispositions on the lower end of the portfolio and the same things we've done before as it relates to that we have assets that have significant CapEx needs coming up, other assets that we think have kind of been optimized from an asset management standpoint. So we're continuing to have some of those discussions and potentially looking at doing some more on the disposition side, but nothing dramatic, just particularly in a few smaller assets that we're considering that. So as you're thinking about selling those, you clearly look at your potential buyers through a little bit of a different lens, where you just have to make sure that you're very confident about their source of equity and their ability to close on transactions.
David Katz: All right. Understood. And just as a follow-up, assuming that you could get around the current circumstances, are there particular markets where you would prefer to lighten up rather than acquire? And just given your sort of market updates, would be really helpful.
Marcel Verbaas: Not necessarily. We're not necessarily looking at markets where we absolutely want to lighten up. I think we've -- as you know, we've done a lot of heavy lifting over the last few years to shape the portfolio to where it is today. So I wouldn't say that we look at our portfolio and say we really want to get out of this market. I do think that there might be some opportunities to sell some assets in our current environment that are still particularly attractive or because of some of the shorter terms you've seen as it relates to strong leisure demand in some markets that people really want to get into, that may not be absolutely a long-term strategically important asset for us. But that being said, nothing specific as it relates to any kind of reshaping of the portfolio as it relates to markets, whether on the acquisition side or on the disposition side.
David Katz: Understood, thanks very much.
Operator: Thank you. The next question today comes from the line of Bill Crow from Raymond James. Please go ahead. Your line is now open.
Bill Crow: Thank you very much. Good afternoon, guys. Two questions for you. First of all, if you could just -- if you could fast-forward a little bit to the first quarter of '23, and I'm not looking for guidance, but it's just a really interesting setup with Omicron this year, but offset by really strong leisure demand. And I'm just wondering how you think that quarter might play out fundamentally for the industry.
Marcel Verbaas: Well, we thought you would be excited that we at least gave guidance for the rest of this year, Bill. So we -- as we...
Bill Crow: We always ask for more of that stuff.
Marcel Verbaas: As you have noted, I mean, visibility is obviously still relatively limited, and there's a lot of macro forces going on that could obviously shape things differently as we get into next year. But I think you pointed out some of the things that will be impacting this year versus last year. Omicron really hit hard in January of last year. And most properties weren't really prepared for that from an operational standpoint. So as you recall, in the first quarter, it was much harder to drive the type of margin improvements that we were able to drive here in the second quarter just because demand slipped so much in the early part of the first quarter versus what the expectations were. So overall, that obviously sets things up better for the first quarter of '23 than it did for the first quarter of 2022. And as we pointed out, we are expecting this continued kind of gradual recovery of the corporate transient and group side that hopefully will offset some of the historic strength that you've seen in leisure here over the last few quarters.
Bill Crow: All right. And then my other question is really on seasonality in Nashville. And I asked that because I assume summer is the big season from a tourist perspective. But with all the new supply opening up, I'm just wondering, if we were to look at how the seasonality and demand plays out, if you could just kind of give us a road map of what to expect.
Barry Bloom: Yeah, so we're still learning, obviously, what the seasonality looks like. And I think we were actually, quite frankly, very surprised in Q2 by this hotel's ability to attract short-term corporate group to the hotel in a way that we had not expected when we closed on the hotel at the end of March. I think summer has been an interesting period for us because that group business doesn't really want to be there in the summer. So we've certainly seen and worked to pick up even more leisure business and really do a good job of marketing and advertising the food and beverage amenities, which are largely outdoor-focused. I think we're optimistic about Q3 in the same way as it relates to corporate demand, which we think this hotel is set up very nicely for as well as group demand, which we expect to be significantly different in Q3 than it was and into Q4 than it has been in early Q3 so far. So I think we're still learning the market. And I think what we're really learning is how this asset can best penetrate the market, both in line with our original business plan, but also additional opportunities that we think set the hotel up well for success.
Bill Crow: Okay, all right. I appreciate it. Thank you.
Operator: Thank you. The next question today comes from the line of Ari Klein from BMO Capital Markets. Please go ahead. Your line is now open.
Ari Klein: Thanks and good afternoon. I appreciate that there are some moving parts between leisure and business and group and how that recovers. But how are you thinking about occupancy moving forward and getting back to 2019 levels? It seems like in the back half of the year, expecting more normal seasonality, but at the same time, you do have business and group travel picking up.
Atish Shah: Yes, I mean, Ari, it's a good question. I mean the way we thought about and what we provided, that is embedded in our guidance, is in the second half, we expect occupancy to still be kind of off to 2019 by high single digits to 10%, sort of 10 points. So that gives you kind of a short-term perspective on what's embedded in our guidance. I think over a longer period of time, we obviously expect the recovery to be full and complete, both in terms of corporate transient and group. And so while it might take a little bit longer, we definitely feel confident that the business is coming back based on what we've seen thus far.
Ari Klein: Got it. And then maybe just on the Florida Keys, RevPAR growth was, I think, 3% in the second quarter versus last year. Is that just tough comps? And is that a market that you would anticipate seeing decline second half of the year?
Barry Bloom: Yes, it's a market that's performed incredibly well for us and for others over time. We like the hotel we have there a lot, the Hyatt Centric. It's continued to perform well. And through every month of Q2 and now into Q3, we've been really impressed with the ability to continue to drive rate there and the resilience of that market in terms of people that want to be there and are -- really want to be in the property doing things. We're actually -- we are doing some infrastructure work at the property in August and September. So we will see, by our own design, a little bit of impact to where the hotel has been and the growth year over year. But long term and strategically, we feel really good about the market. And it's a market that the people have long enjoyed being in. And quite frankly, it does suffer -- suffer is not the right word, it has the great benefit of constrained supply. And when people want to go there, they're willing to pay terrific rates to be there, and that's been the case over many years.
Marcel Verbaas: I think coming into this year, one of the questions, is there any part of the year whereabouts -- does a market like that, does it actually have the potential to go down this year versus where we were because of the massive growth that it has gone through over the last few years. So we're actually quite encouraged about the fact that we're continuing to see very healthy occupancies and ADRs in the markets and haven't really seen any kind of setback in the market and are still very bullish on the longer term.
Ari Klein: Got it.
Operator: Thank you. The next question today comes from the line of Michael Bellisario from Baird. Please go ahead. Your line is now open.
Michael Bellisario: Good afternoon, everyone. Barry, I wanted to ask on your markets that were not up versus 2019: Dallas, Houston and then Denver, too. Looks like it's all occupancy-driven, but what's the mix of business there today versus where you want it to be? And then any signs you're seeing on the ground that those markets may or may not close the gap versus some of your better-performing markets, at least over the near term?
Barry Bloom: The mix in those markets is actually not substantially different from what it's been historically in terms of the actual components of business. It's resulting in lower occupancy, I think, in each of those cases. In Q2, whereas Marcel and I both mentioned some of the markets that had citywide outperformance, those markets all have relative citywide underperformance relative to prior years, which impacted each of those hotels. Denver has had a very strong comeback in the -- in July, in particular. And Dallas and Houston are markets where our hotels rely really heavily on in-house group business, and we're in a seasonally softer period here in the summer. But I think we have much higher expectations as we get past Labor Day and get into more definitive corporate travel and the return of group demand to those properties.
Michael Bellisario: Got it. And just on the group topic, I know you gave volume and ADR for the rest of the year, but what about contractual F&B and other out-of-room spend that groups are booking today, are those effective prices up more or less than the ADR figures you quoted earlier?
Barry Bloom: They're up around the same range. We -- our operators have gone through every one of our hotels, obviously, in terms of not just restaurants, but in particular, looking at and refocusing on banquet pricing. And we've seen really good commitments from groups on food and beverage. They may not be committing to it upfront when they sign a contract. When they get on property, they are typically the largest. And most -- and the good-quality corporate groups are way out spending what they originally committed to. And the contribution is at or in excess of where it was in 2019.
Michael Bellisario: Got it. And then just last one from me. Just on the $8.1 million, maybe for Atish, the $8.1 million of non-comp EBITDA, could you provide the split between Nashville and Portland on those?
Atish Shah: Yes, it was five and three, Nashville and Portland.
Michael Bellisario: Thank you.
Operator: Thank you. The next question today comes from Tyler Batory from Oppenheimer. Please go ahead. Your line is now open.
Unidentified Analyst: Good afternoon. This is Jonathan on for Tyler. Thank you for taking our question. First one for me is on CapEx. With the Grand Bohemian renovation underway and the planning stages of the Kimpton in Salt Lake, is there any large-scale renovations that might be on the table or do you think the portfolio is in a good place once those are completed? And I guess, and maybe if you could just remind us the quality of the portfolio, given the CapEx you've spent over the past few years.
Barry Bloom: We have a long track record of continually improving the assets. So while we're not prepared to talk about them today, we've got a number of projects, quite frankly, that we're looking at and planning for further into '23 and '24, some of which we may be able to talk about on our call in November. But we've continually reinvested in the portfolio. And we do think the portfolio is in really good shape, in part because we do really high-quality renovations. We've talked before about us using our own in-house project management team to manage our projects, which we think lets us deliver those projects at a good cost, with a lot of really good control over the decision-making and what we're doing in those properties. But CapEx is, I think, is clearly an ongoing process for us. And we continue to reinvest in the assets, including assets where we have done comprehensive renovations.
Marcel Verbaas: And I'll just add to that. I've spoken about it in the last few quarters on -- in our prepared remarks, and I believe in some of the questions I've answered too that we are continuously looking at whether there are some outsized ROI opportunities within the portfolio, too. And as we -- you mentioned, for example, Grand Bohemian Orlando. As we really dug into those projects, we looked at do we do a more limited room renovation and more limited renovation of that asset. But we strongly believe in the long-term potential of that property and feel like the type of renovation that we're doing at that asset now is really taking it to the next level and should provide some very strong ROI for us. So similarly, we're continuing to look at some additional opportunities. And going back to your other part of your question, clearly, we believe we have an extremely high-quality portfolio. And if you walk through all of our assets, you're not going to say, this asset needs a ton of money. We have a really good team that has stayed on top of these assets. Clearly, we're looking to spend more in the range of what we historically did this year. And as we get into next year and then, to Barry's point, as we start talking about some of the opportunities we have going into next year and what our CapEx plan looks like for next year, there may be a couple of other things that we'll talk about where we believe we can drive some very strong ROIs.
Unidentified Analyst: Okay, good. Thank you for all the color there. And then switching gears to the guidance. Can you provide some color on the move to issue the guidance and why that made sense now this quarter compared to maybe next quarter or last quarter? Given the seemingly swirling macro backdrop that's going on right now, is it a sign of confidence in the recovery or more clarity? Any color there?
Atish Shah: Yes, that's a good question. It is definitely a sign of a little bit more confidence in the recovery and just a view that we should be providing a little bit more visibility on what we're thinking. So that's really the chief driver of the timing. I think our view is also that we would refer to the type of guidance we've been providing before, so full year guidance. And the other piece is that the ranges on the guidance, if you look back to where the types of ranges we have provided back in midyear, in 2019, they were much tighter. So I think embedded in our guidance is the view that there are, generally speaking, a broader range of potential outcomes, which is why the guidance is quite a bit much wider than it was back in 2019 at this time.
Unidentified Analyst: Very helpful. Thank you for all the color, guys. That's all from me.
Operator: Thank you. There are no additional questions waiting at this time, so I would like to pass the conference over to Marcel Verbaas for closing remarks.
Marcel Verbaas: Thanks. I know it's been a long day for everyone, a lot of people reporting today. We appreciate you joining us for our call today and we look forward to updating you again next quarter.
Operator: This concludes todayâs conference call. Thank you all for your participation. You may now disconnect your lines.